Per Brilioth: Okay. Welcome, everyone our Q4 call, the VNV Global Q4 call. So welcome to this call. I'm Per. I'm joined by Bjorn and Dennis, my colleagues, who'll walk you through the results, what's going on in the portfolio, touch upon a few of the holdings. And there is -- so we'll walk through the presentation and then there will be Q&A afterwards. We -- so if you want to ask a question, please use the Zoom Q&A sort of function. This is the same as we've done in previous calls. So I think it's self-explanatory. So let's kick things off. And first numbers. I pass the microphone to my colleague, Bjorn.
Björn von Sivers: Thank you, Per. If you can move to the next slide, we'll start with that. So as per year-end 2025, VNV Global's NAV stood that $547 million or roughly $4.25 per share, down 5.9% in USD during the quarter. In SEK terms, NAV is SEK 5 billion or roughly SEK 39.1 per share, down 8% over the quarter. For the 12 months period, NAV in USD terms is down 4.2% and down close to 20% in SEK terms. If you come to the next slide, Per, we go into sort of the simplified balance sheet here. And so we have a total investment portfolio that amounts to $589 million, consisting of investments of $537 million and cash and cash equivalents of $51 million. Borrowings at year-end '25 totaled $46.6 million following the partial redemption of the outstanding bond earlier in the quarter. We continue to trade at a material discount to NAV as per share close yesterday, January 28, at 19.9%. We're trading at sort of implied 49% discount NAV. During this quarter, we've continued to repurchase shares that we started in Q3. And as per year-end, company holds close to 2.4 million common shares, representing approximately 1.8% of the outstanding common shares. And the fair value change during the quarter is a per usual, primarily driven by the movements across the largest holdings in the portfolio. And if we move to the next slide, I'll quickly just go through the main drivers here before we jump in to a more broader view of latest developments and the key portfolio holdings. So starting from the top, we have BlaBlaCar, which has -- this quarter is valued at $164 million for our stake based on the same sort of model as per previous quarter, down 11% or roughly $20 million in the quarter, primarily driven by lower peer multiples. Second, we have Voi valued at $127 million for VNV's stake, down roughly 7% or $10 million during the quarter. Numan, third largest holding valued base -- still valued based on the latest transaction at $37 million, so flat over the quarter. HousingAnywhere also valued at $37 million based on EV sales model, relatively flat during the quarter. And then sort of final 6 of the largest holding Breadfast also valued based on the latest transaction in the company. We also have a Bokadirekt at model-based valuation, which is relatively flat during the quarter. All in all, these 6 companies represent close to SEK 30 per share in aggregate or 80% of the NAV. Finally sort of just a brief comment on the cash and cash equivalents. We ended Q4 with $55 million in cash following an eventful quarter in terms of cash movements. The primary inflows during the quarter were the final closing proceeds from the Gett transaction and also closing proceeds from the Tise exit, which we previously announced, and main outflow again, was the partial bond redemption where we sort of cut outstanding debt in half. With that, I'll leave it back to Per, who will start and continue walking through the latest developments and the key holdings.
Per Brilioth: Thanks, Bjorn. Yes, the portfolio is sort of similar to what you've seen in prior quarters over the course of '25. BlaBla and Voi sort of nearly 50% of the portfolio. And yes, the -- it's -- I know we marked the NAV downwards this quarter to the order of -- it is 6% in dollar terms. And it's -- and as Bjorn walked you through, this is technical. Sort of we do our valuation models, we look at peer groups in the listed world. Much of this sort of downtick is due to that these peers are down, but the actual companies, these big companies in our portfolio and the small ones are really doing well. And so it's -- the quarter-to-quarter movements don't necessarily sort of correspond to sort of the progression of the companies, which is sort of performance-wise revenues and EBITDA is doing really well. And also sort of how they're positioned in this sort of volatile world we live in with new sort of softwares, AI, et cetera. I think the portfolios are really robust, whereas, in other sectors, software, et cetera, it's kind of scary what's going on. But here, for example, what's going on in the much sort of focused on AI world, these companies will benefit from all those sort of new products and new AI sort of apps, et cetera. So I think that's an important starting point. We obviously trade at this discount. It was 49% we're down today, so it's a higher discount. And we think our NAV -- the NAV, these green bars, will deliver substantial returns annually over -- for the coming years. So we can't really find anything better to do than to buy our own stock. If we can buy that NAV at a 50% discount, 50%-plus discount, it's the best use of shareholder cash. And we have -- Bjorn gave you some numbers. Over the course of the second half of last year since we sold, we got the Gett cash and went to net cash, we have been buying back stock, and we'll continue to do this. We have a bunch of gross cash. We still have some debt outstanding. And that leaves a little net cash, but we also have progression of some further exits in the portfolio. So we intend to sort of work, operate, execute in accordance what markets tell us and that is to sort of sell at NAV and buy the stock. I think it's $170 million that we have exited over the past 2 years have all been around NAV. And the transactions that we sort of look at concluding going forward are also around that level. So that's where deals happen, and our stock trades at half that, we're very focused on it. And so spent some time in writing up this report and sort of trying to discuss, if you will, the reasons why this discount is there. I sort of thought that net debt was part of the reason, and I guess it's not because we're in net cash, and there's still that the discount is persistent. It's not that the portfolio creates a lot of cash. Sort of just shy of 80% of it is EBITDA positive in this number. We have Voi at EBIT positive, well, obviously, because they own and depreciate these assets. If you use their EBITDA figure, it's -- this 76% of course goes up, of course. The decline here a little bit is predominantly driven by that Gett is sold over this past year. So we're -- the portfolio is doing well. It's not craving cash. And in fact, it's not only profitable, it's also -- there's still growth. This shows the growth of the 6 largest holdings. And we've seen that growth sort of accelerating over the course of the year that we're now closing, so 40%. We see growth sort of continuing in '26, maybe to the order of like 30% and earnings at this -- at the bottom level here, gone from a negative in '23 to positive now, and one that we see growing much, much faster than revenues in the coming years. I think Dennis helped put together some numbers. And if you look at the '26 earnings, you are looking at -- and just using our share of these 6 companies, so these 6 companies, during the course of 2025, generated about SEK 1 billion in revenues. And so our share of that is like SEK 150 million. And if you take that into '26, the way we see sort of earnings growing, I think you got -- if you compare our market cap to our percentage of these guys' earnings, you're looking at a price to EBITDA of, call it, just above [ 20% ]. And how earnings is growing over the next year, you're looking at, in '27, our market cap, again, to the same sort of earnings -- our percentage earnings of these 6 companies getting down to levels of [ 10% ]. And that's then using the market cap and comparing it to the performance of these 6 companies. If you -- and that's assuming everything else is at 0. And everything else is very far from 0. Here is a bunch of the companies that show up in that are the part of the portfolio Flo. I think all of you know, it's the world's largest peer tracker, OURA. I'm sure many people on this call use OURA Rings. Ovoko is Europe's fastest-growing marketplace for used car parts. Yuv in the hair coloring space is doing fantastically well, growing fast, no traffic. Company predominantly selling their product within traffic control in the U.S. Tise actually just sold at above our NAV. It's the Vinted of Norway, was recently sold to eBay. Just to give you a sense that outside of these 6 companies, there's a lot of stuff going on in our portfolio. And as we've talked about before, I sort of say that in this other part of the portfolio, we have the next BlaBla, the next Voi that, in a few years' time when maybe BlaBla and Voi are exited, you have one of these companies will have taken their place and become one of the bigger parts of our portfolio. And in fact, just to go back to that NAV and us trading at this NAV sort of our NAV, we try to keep it conservative. Our auditors tell us that we should -- it should be fair. It should be correct, should be the true market value. If we are wrong, we'd like to be wrong that we're a little bit conservative. And I think these are 3 examples of late where Tise was sold for $11 million to us, we had it at [ 6.6 ]. Yuv raised money at equivalent of [ 4.7 ]. We had it [ 2.8 ]. And Yuv was done around the mark and OURA was done way, way above our mark. So sort of high-level intro to what's going on at large at VNV. So just to take you through BlaBlaCar, where there's not that much new to talk about. I think most of you know BlaBlaCar well by now. It's been many years in our portfolio. It's a marketplace for long-distance traffic where supply comes from -- predominantly from cars, but also bus and train operators offering seats into a marketplace where -- which has a very large and very fragmented demand side on the other side. It's a European business. Every little green dot here is BlaBlaCar on route on the car. So you see it's very, very active marketplace in Europe, but the fastest-growing countries for this company right now, it's in emerging markets where India has overtook France last year to become the largest market in terms of passengers and that's not yet monetized. And in fact, over the course of this year, one of the things that we are really eager to see the company perform, and we're confident that they will sort of execute on, is to monetize emerging markets, which they have in other parts of the world, but we see first up Brazil, where they've been at it for a long time, monetization is now starting to become well underway after they've spent some time on testing different sort of routes to monetize. Not every market is France. France is, of course, heavily monetized and very profitable. Brazil, they have sort of tested some new products and found the right one and now getting going in earnest with that. And then India, Mexico are to follow. But -- and in Europe, which is really profitable and not as fast-growing market as those emerging markets, there's still a potential to growth as the company sort of really improves the product to pick up the sort of the big demand that's out there when they offer a point-to-point solution in this sort of long distance sort of travel. So it's not only going from a big central station in Paris to big central station in Lyon or Madrid, for example, but this company actually offers a route from a small city like [indiscernible] to a small city like [indiscernible] where, today, you need to sort of take -- or outside of BlaBlaCar, rather, you need to take a train to [indiscernible] or bus to [indiscernible], take a train to Paris, change station in Paris, train to [indiscernible], bus to [indiscernible], which takes 6 hours and costs a lot of money. So the alternative in BlaBla trip is much more comfortable. It's door-to-door, it's faster, it's much, much cheaper. So as the product sort of starts to sort of cater even more to this sort of door-to-door kind of concept, we think there's also growth to be had out of places like France, which has been more sort of a profit center than a growth center of late. And just summing up, we're the second largest shareholder of this company now 14%. I mean that's not changed since we last spoke. And yes, we're very, very keen on this upside. I think, for the course of this year, monetization in emerging markets will be a very, very interesting thing to follow. But also beyond that, just generally from the sort of volatile year of '23, very, very sort of profitable and then '24 with the sort of the ceasing of these green revenues that they had in France, they're now on a very sort of stable footing and are profitable in earnest, and we see that those profits really sort of growing well into the coming years. So really, really keen to see this company now having just normal times and being able to grow in their -- in all their markets, but -- and especially in emerging markets and also monetize those, which will be obviously driver for revenues. And then a lot of that money, not to say all that money falls down to the bottom line. So those are few words on BlaBla. I'll hand over to Dennis to walk us through Voi.
Dennis Mohammad: Thank you, Per. As we've highlighted in previous calls, Voi has had a very strong 2025, with net revenue growth in the 30% range and margin expansion across the board. On the back of this, VNV has written up its value in Voi by over 25% during the year, taking it from around 15% of the VNV portfolio to more than 22% of our portfolio this quarter. So given that performance and its increasing importance for VNV, we thought it made sense to do a bit of a deeper dive on Voi on this call. Starting with the basics, which I assume most of you are aware of, Voi is a leading European micromobility company. They operate both shared e-scooters and shared e-bikes in more than 110 cities in 12 countries. Whilst the hardware is the most visible part of the business, as you can see on the left most side of this slide, Voi is fundamentally a vertically integrated hardware, software and operations platform working as one system. On the software side, Voi has invested heavily in everything from machine learning for fleet optimization to ensure that supply and demand are matched in each city at any given point in time, to inventory and fleet tracking, the rider app that users see, but also the various types of data products for cities in the locations where Voi operates. On the operations side, Voi manages the full vehicle life cycle from sourcing and designing of the hardware to predictive maintenance and fleet management and ultimately, resale. To date, Voi has resold more than 60,000 vehicles when upgrading to newer models has made more economic sense than continuing to operate, which shows you how far this business model has come from where it started back in 2018. All of this makes this a highly complex industry and company, I believe, with meaningful barriers to entry. And it really strongly favors to operators that have invested in technology and operational excellence to drive down cost per ride, a metric we are fairly certain Voi is leading on in this industry. If you go to the next slide, Per, and apologies in advance for a slightly wordy slide, but I'll walk you through the highlights. Today, Voi has a highly diversified revenue base with over 100 cash-generating cities. The largest city accounts for only 8% of revenues. And we were often asked, I'm often asked what happens if Voi were to lose a major tender in cities such as Oslo or London or Paris. And the answer is really that the downside is quite limited here. The portfolio is diversified, as I said, and the fleet would just be reallocated to cities where they can continue to generate revenue, perhaps at a slightly lower pace in the beginning, but that is a very key component to the fact that it's a very kind of diversified portfolio of cities. Voi also has a very loyal and growing rider base with active users up more than 33% in 2025, highlighting that penetration remains very early in many European cities. And I'll show you a slide on that just after this one. Voi also holds the highest regulated market share in Europe at around 30%. And close to 80% of its revenues actually come from these regulated markets where competition is limited and unit economics are structurally more attractive. And then I think this is one part of why Voi has managed to achieve this margin expansion that we've seen over the course of the past 12 to 24 months. On hardware, Voi is now operating its ninth generation vehicle with roughly 1-year payback periods and an asset lifetime that exceeds 10 years. Also that a big improvement versus the first models that we saw in 2018. And during 2025, Voi scaled its e-bike offering quite meaningfully with further expansion planned also now in 2026. The benefit with e-bikes is that it not only diversifies the fleet, but it also broadens the user base and significantly expands the addressable market for Voi. You have more users willing to use the service. And over time, we expect additional vehicle types to be available on the platform as well. Finally, on this slide, Voi has industry-leading safety performance. On average, a rider will need to travel around 6 laps around the globe on Voi before being involved in a serious L2+ accident. And as a food for thought here, I think safety remains a core focus for Voi, but city infrastructure and car prevalence are also critical factors in that equation. If we go to the next slide, Per, as I alluded to before, what we're seeing here is the share of city population that are monthly and/or yearly active riders with Voi in a number of cities, but also for the top 50 European cities that Voi is active in. And as you can see, even in Voi's strongest cities, penetration remains quite low. In places like Stockholm and Oslo, more than 60% of the population remains untapped. And in larger cities such as Berlin, that runway is close to 90%. Voi has around 1 million retained monthly active users today, while more than 150 million people are aware of the brand and over 600 million people live in Europe. And I think this highlights how early the journey still is and how much growth there is to come from just growing user base. As mentioned earlier, Voi grew monthly active riders by 33% in 2025 with essentially no marketing spend, making this a highly efficient acquisition engine as well, and this is a metric we expect to continue to drive growth going forward. Going to the next slide and turning to this quarter or the fourth quarter of 2025. We've written down our stake in Voi by 7%. And -- while peer multiples have been volatile with mixed movements across the group and actually a net positive impact from the [ median ] multiple. VNV has essentially taken a more conservative view on the near-term LTM EBITDA forecast for 2026. This essentially reflects increased investments in mega cities such as London and Paris, which carry lower margins initially, but are likely to become the largest contributors to both revenues, but also profitability over time. Another thing worth highlighting here is that Voi is also investing in its first refurbishment hub in Poland, which expands vehicle lifetimes, improves unit economics and increases control over the supply chain, all positive long-term initiatives, but also part of explaining why we're taking down the EBITDA forecast in 2026. For the [indiscernible], however, we expect positive adjusted EBITDA and adjusted EBIT in 2026 with expanding margin versus 2025, but this will not be a year of steady-state margins. Instead it will be a year of continued investment within healthy positive margins, but prioritizing growth at the right price over short-term margin maximization, all of which we believe will drive long-term value for Voi. If we go to the final slide, this is actually not new from when we last looked at it in Q3. This shows Q3 LTM figures. And we -- as I said, we also did that in our last call as Voi actually reported ahead of us. This quarter, they're reporting after us, so Voi will release its Q4 results in February. So we encourage you to follow that on their IR site. But in essence, you're looking at growth in the 30% range with significant market expansion across the board. That was it on Voi. If we move to the next slide, we're seeing HousingAnywhere, which is the leading platform for medium-term accommodation rentals, typically 3 to 9 months in Europe. Over the past year housing -- past years, sorry, HousingAnywhere has grown roughly 20% per year and has been adjusted EBITDA positive since 2024. During 2025, at the beginning of the year, we updated the management team and instated a new CEO, Antonio Intini. Antonio brings tons of experience in the real estate and tech sector, having served both as Chief Business Development Officer at Immobiliare, which is Italy's leading housing platform, and several years at Amazon before that. During the year, we've also spent time and resources on updating the company's long-term strategy, where VNV, through me, have supported operationally as well. And as part of this work, HousingAnywhere is expected to complete a new funding round in the near term to finance its updated management plan, expected to close during this quarter or the first quarter of 2026. VNV is committed to invest around EUR 1 million in this round. And in the fourth quarter of 2025, since that was already decided, we have reflected -- we've adjusted the carrying value of HousingAnywhere to reflect that transaction, which is done at a small premium to our NAV. If we go to the last slide on my end, that is Numan, which is a digital health platform for specialized health in the U.K. As we've talked about in the past, this company has seen massive growth in its weight loss vertical from GLP products -- sorry GLP-1 products in the past couple of years. And it's expected to close 2025 with triple-digit growth on revenues and positive EBITDA despite increasing volatility in this market following Eli Lilly's price increases in the third quarter of 2025. This marks the second consecutive year with over 100% growth on top line and positive EBITDA for Numan. We also note that our sector colleague, Kinnevik, made an investment into this broader space, different business model, different company called Oviva, but definitely shows the interest in weight loss market in the U.K. In this fourth quarter, we value our stake in Numan on the back of a transaction that took place during the summer of 2025, where Numan raised both equity and debt to the order of around $60 million. So for that reason, the valuation is essentially flat in Q4 of 2025. That's it on my end. Handing it over to my colleague, Bjorn, to speak about Breadfast.
Björn von Sivers: Thank you. A few quick words on Breadfast here, which we value at $30 million for the VNV stake based on the capital raising they have done during 2025. The company has been doing really well and accelerating growth during the year, ending the year with sort of a run rate GMV of around $290 million. And again, as a reminder, Breadfast is online grocery, quick commerce business based in Egypt. Primary market is Cairo, where they're currently expanding their footprint across the city with a lot of new fulfillment points. And importantly, while also sort of sustaining healthy contribution margins. We're super excited about this company, and I think they will have, hopefully, a stellar 2026. And if we move to the next slide, I'll also mention a few words on Bokadirekt, the SaaS beauty marketplace out of Sweden, a dominant player in the market, also a company that's doing well. Stable growth, 2025 looking to close short of just shy of SEK 200 million in net revenue with EBITDA of SEK 50 million. So in absolute terms, sort of still on the smaller side, but really solid business, which we think sort of have both potential to continue sort of stable double-digit top line growth, while improving margins, not maybe to the sort of full classifieds type level, but definitely increasing it compared to where they are today. And with that, I think we're sort of through the sixth largest holding, and I believe it's time to open up for Q&A.
Björn von Sivers: As Per mentioned, and sort of if you want to ask a question, please type it in sort of in the chat or Q&A function here in Zoom, and we'll try to address them. And the sort of, I think, 2 BlaBlaCar related questions to kick off with. We already received this one, is there any new information on these energy saving certificates that we've discussed historically that were there and that's moved -- got away. And then also is BlaBla -- sort of more general question on the BlaBla product. Is this more focused on national users in their different markets? Or is it also sort of a visitor/tourist element to the product?
Per Brilioth: Okay. Thanks. I'll take those. So yes, the energy saving certificates in France for transportation is gone for now. So the French government opted to sort of tax the energy -- heavy energy users rather than sort of let the market sort out. Trying to get the heavy users sort of reducing energy and the ultimate sort of goal of this. So in France, it's not present at the moment. It may come back, but we don't know. I think it will need sort of more stable sort of politics and sort of budgetary processes. Having said that, it's been started in Spain a few year ago and it's really growing fast in Spain, and it's -- the Spanish government thinks it's the best things in [indiscernible]. So it's like really popular across the board there and starting to contribute meaningfully. It's not yet meaningfully to sort of BlaBla revenues, but most importantly, to earnings because this is obviously very higher-margin revenue for the company. It's not yet to sort of the very high levels that we saw in France in 2023 when there was the base sort of -- the base level of these energy savings certificates, but in '23, they also had a booster on it. So Spain is still below that, but still a very good contributor and take a few years and be at the French level, but that's a very positive. And then we'll see what happens in France going forward, but it's not present for now. And the BlaBlaCar, yes, it's mostly sort of local, national, sort of going to visit parents or going to work, university, et cetera, inside the countries, but there's also a fair bit of cross-border stuff also for inside Europe for work purposes, but also for, we'll call it, tourists, that use it to go from Amsterdam to Paris, et cetera, when -- as it's -- again, using it for the same sort of reasons that sort of locals use it. It's cheap and it's also point-to-point.
Björn von Sivers: And then I think we have a Voi-related question. You referred to a potential listing of Voi also sort of on the back of a potential IPO of its competitor. Why not move ahead and become the first and leading one? Better to be first than second. What's holding you back or Voi back in this case, I guess?
Per Brilioth: Yes. Voi is not in need of equity funding right now. And so from a company perspective, it doesn't have to do this. And if Lime were to IPO or when Lime IPOs, I guess maybe it's more fair to say because there's been a lot of talk and they seem to be heading in that direction. And that IPO sort of establishes a certain sort of attractive cost of equity capital for the industry, then, in my view, I think that accelerates Voi's path to also being listed. But sort of putting that aside, I think sort of the timetable in my perspective for Voi is more to provide liquidity to shareholders who need liquidity, that being a reason from do a listing. That's more something that maybe happens in 2027. So -- but things could change on the back of a Lime IPO.
Björn von Sivers: Thank you. And then we have 2 questions sort of around the discount and buybacks. So the question is, discount is persisting, we've done sort of relatively modest buybacks to date. Have you considered being more aggressive on that side, or can you? And what's the sort of considerations there?
Per Brilioth: We will -- we've been buying back stock in VNV for, I don't know, at leat -- I mean, as long as I've been around, since 20 years. I think if you look across past 10 years, we bought back stock and distributed sort of cash to shareholders to the order of like, is it $750 million? So -- but throughout these years, we've done this in a very opportunistic way, not sort of buying on a downtime, but not chasing on an update kind of thing. And so that's the way we've sort of approached it over the autumn, and I think we'll continue to approach it. And then if sort of certain sort of block size opportunities come up, we'll look at those, too. But otherwise, we'll just be optimistic in the market. That's our way about it. We have quite a lot of gross cash, so there's firepower to do a lot. I know the net cash is smaller. But we're also working on a few exits, none of the sort of big, major things, but in the other part of the portfolio. There's some exits happening outside of us, which could lead to more liquidity. So yes, it's -- for us, who has this sort of insight into the performance of the portfolio and the development and the way we see that from the level of NAV, substantial returns, we'll be able to -- it will generate substantial returns from the NAV level. There's just nothing better for us to do. So I think you should expect us to continue doing this, but in an opportunistic way. I mean, speaking of Voi, I mean, I know we have Voi marked wherever it is. It's at $127 million today. I, in fact, think that you could argue in some ways that Voi -- our position in Voi today is, the way we value it, understates it massively perhaps to the extent that our stake in Voi sort of makes up the entire market cap of VNV and everything else is for free. I know that sort of requires having sort of a little bit of faith into them performing over the coming years. But the way from where we sit, we think that's entirely possible. But yes, so to give you a sense of buybacks.
Björn von Sivers: Thank you. Another question here. Looking at the pro rata share of earnings, which you communicated, it looks like 2025 margin assumption is slightly lower quarter-on-quarter compared to third quarter. What has driven this development? Dennis, can you take this one?
Dennis Mohammad: Happy to. So I think the question is on the $3.2 million of pro rata adjusted EBITDA, so that's the VNV share of the pro rata EBITDA of the portfolio companies in the top 6 list. As a reminder, Voi is on adjusted EBIT here, not on EBITDA. The biggest difference, so this is around 2%, 2.2%, I think, percent margin versus, I think, 2.5% to 3% range that we had before. And the biggest driver of that delta is -- a couple of hundred thousand is Breadfast that has invested quite heavily in growth, as Bjorn alluded to earlier. So they have seen a bigger kind of top line growth than anticipated, but done so at a slightly lower margin. So that's the biggest driver for 2025. And then 2026, we will get back to you in a couple of quarters' time.
Björn von Sivers: Thank you. There's also a question here that says, arguably, you've been hurt by the dollar decline without any underlying assets that actually have dollar exposure. Have you considered changing your reporting currency? And so -- I mean, it's true that today, it's very little dollar exposure across the portfolio and, more importantly, on our sort of cash side. It was more dollar exposure in the beginning of 2025, where we still had Gett, which arguably could be sort of was priced in dollars and made up a sort of meaningful part of the portfolio. The historical sort of our reporting currency of USD has historical background. We've been reporting in dollar terms since the very first iteration of the company, which many years ago when we sort of still was a [ Bermuda Topco ] and had the [indiscernible] listed in Stockholm and that sort of continued while did the redomestication back in 2020. But given the change in the sort of portfolio, we have reviewed this topic, but haven't sort of made a decision or come to a conclusion. And again, sort of given that the portfolio is not dollar-denominated, the value sort of is what it is irrespective in which currency you reported. But there's obviously sort of pros and cons in communication especially in these times of very volatile effects. With that, I'm checking here if there's questions that we have missed. I think, sort of -- there was a few questions here on a more broader topic around our larger holdings and how we think about sort of -- when we do an investment, how do we think about and review the sort of original thesis we had when we did the initial investment? How sort of -- what frequency do we will review that? And if we realize that our original thesis was not, or is not sort of playing out, how do we think about that? And how do we sort of try to proactively work with those type of examples in the portfolio? So maybe if we can give a broad answer there.
Per Brilioth: Yes. I think that's done sort of continuously. It's not that we have a meeting on a special position sort of every quarter and we go through it. I think it's done very continuously. And I think the way you should -- the way this sort of works out is that if -- typically, if we invest in something very early stage, then -- well, the tickets are very small. And if it doesn't work out, we stop funding it basically. It's not really possible to sell the market for those sort of really early-stage positions. It's very illiquid and seldom sort of works to sort of sell, but we stop sort of -- we've made a small check and then we don't do any more checks. There have been situations where we have sold where it has some sort of really, for various reasons, not sort of fitted in the portfolio. And then we have been proactive in sort of trying to find a buyer. We have found buyers typically and then sold them. And then there are situations where we -- I mean, Numan, which is the -- yes, it's the fourth largest of our positions and -- which is a really good company, a really strong company, but it's not quite what we invested in, in the beginning when it was much more community-based sort of phenomenon around male health. And well, the larger the community, the better the product kind of thing. So you sort of get this natural network effects around it. It's evolved from there to being more of a teledoctor, with an e-pharmacy attached to it. And it's a good company, but it's not really network effect. So here, we -- it's a big position for us. We're on the Board. We're quite active around the company. But yes, it's -- the original thesis hasn't really worked out, but it's developed into something good anyway. And we're not -- the sort of the good performance has not made it -- made any sense for us to sell into because prices have improved. So we've held on to it.
Björn von Sivers: Thank you. I believe we're through the questions that I see here. If we missed anything, please ping us on e-mail or whatever, we'll try to address it offline. But with that, I'm sort of -- yes, over to you, Per, for final few words.
Per Brilioth: Yes. No, thanks for joining, and you know where to find us. As Bjorn said, please, please, it's always great and fun to talk and address your questions in this format, but also on a one-on-one basis, if you want to kick things around. We report next time, I think it's April 22. So if not before, then please join us for a similar exercise for our Q1 of 2026. Thank you.
Björn von Sivers: Thank you.